Operator: Good day, ladies and gentlemen, and welcome to the MKS Instruments First Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Seth Bagshaw. You may begin.
Seth Bagshaw: Thank you. Good morning, everyone. I'm Seth Bagshaw, Vice President and Chief Financial Officer, and I'm joined this morning by Jerry Colella, our Chief Executive Officer and President. Thank you for joining our earnings conference call. Yesterday after market closed, we released our financial results for the first quarter of 2017, as well as updated our 2017 target operating model. You can access this information at our Web site, www.mksinstruments.com. As a reminder, various remarks that we make about future expectations, plans and prospects for MKS comprise forward-looking statements. Actual results may differ materially from those indicated by these statements as a result of various important factors, including those discussed in yesterday's press release, in our annual report on Form 10-K for the year ended December 31, 2016, which is on file with SEC. These statements represent the Company's expectations only as of today, and should not be relied upon as representing the Company's estimates or views as of any date subsequent to today, and the Company disclaims any obligation to update these statements. Today's call also includes non-GAAP adjusted financial measures. Reconciliations to GAAP measures are contained in yesterday's earnings release. In addition, we'll refer to certain pro forma measures that the acquisition of Newport Corporation, which closed on April 29, 2016, had occurred at the beginning of the first quarter of 2016. Now, I'll turn the call over to Jerry.
Jerry Colella: Thanks, Seth. Good morning everyone, and thank you for joining us on the call today. I'll begin with our results for the first quarter of 2017, following that I'll provide a few highlights on our business and an update on our integration of our Newport acquisition. Finally, I'll provide our outlook for the second quarter, 2017. Seth will follow me with further details in our financial results, and then we'll open the call for your questions. We are very pleased that we achieved record quarterly revenue of $437 million, an increase of 33% on a pro forma basis from a year ago, and up 8% sequentially. Our strategic objective to drive sustainable and profitable growth has allowed MKS to not only leverage technology inflection points within the semiconductor market, but also to further drive growth in a number of adjacent markets. In this quarter, semiconductor revenue and sales of other advanced markets on a pro forma basis increased 54%, and 10% respectively from a year ago. Non-GAAP net earnings also reached a new quarterly record, and totaled $70 million or $1.27 per share. We solved the most difficult challenge by utilizing our deep and broad technology portfolio, thus enabling MKS to outpace underlying industry growth rates. In 2016, our semiconductor revenue growth rate was almost two times the industry growth rate as we drove new design wins in critical applications. There are also more diversified and broad-based drivers that provide additional long-term growth opportunities for MKS. Historically the semi market has been driven by enterprise applications. However, the landscape has been changing, with demand shifting to consumer-driven segments. Mobile devices are still the main driver in the consumer space, with smart vehicles and virtual and augmented reality are a few of the new technologies that should drive growth, with cloud computing continuing to provide the infrastructure for these applications. With respect to mobile devices, next generation wireless platforms will require increased processing and storage capabilities. The demand from consumer for increased screen resolution and flexible displays is expected to further accelerate the adoption of OLED displays. Smart vehicles are incorporating light-based proximity sensor and mobile connectivity for increased safety and a better driving experience, while virtual and augmented reality will require faster graphics rendering, enhanced color reproduction, and complex algorithms, all requiring increased chipset performance. MKS is well positioned to support this growth, and our product portfolio plays a significant role in enabling the advanced solutions required by these applications. One of our strategic initiatives have been technical localization providing technical expertise in developing customer relationships close to our customers. This proximity is an effective method to rapidly identify and solve our customers' most complex problems. This strategy has been a significant contributor to our success in the Asia region. For example, South Korea has been and continues to be a major growth driver for MKS, where revenue increased in the quarter 118% from a year ago, and 35% sequentially. During the quarter, we won a significant order from a large Korean customer for our new ozone product supporting their OLED manufacturing. This win was based on a new Green Idle Mode technology which significantly reduces the amount of water and electricity needed, which in turn reduces customer cost and is also eco-friendly. Our Korean OEM business remains strong, and we received significant follow-on orders during the first quarter for ozone systems, remote plasma sources, and power applications. We continue to generate significant design wins for enabling next generation technologies. We began a collaboration with one of our largest customers to develop plasma sources for new and emerging processes enabling the seven nanometer and beyond FinFET devices. Our Flow Ratio Controller was selected for a next generation X chamber, provide uniformity. And our next-generation plasma source has been specified for a new thermal processing tool by one of our largest customers. A major strength of MKS is the deep customer relationships we have, in particular at the executive and key decision-making levels, which accords good communication, understanding, and collaboration between our engineering teams and our customers. These long-standing relationships allow us to more clearly understand our customers' issues and technological roadmaps and to introduce new and acquired product to solve these challenges. One of the significant opportunities of the Newport acquisition is the ability to introduce the extensive Newport product portfolio into the existing MKS customer base and sales channels. For example, during the quarter we won a million dollar purchase order for a Light & Motion division solution with a leady Asian OLED manufacturer due to the strong executive relationship that we earned through the Vacuum & Analysis division. We also have a number of other opportunities to introduce Vacuum & Analysis products and solutions to Light & Motion customers, and have been conducting joint sales meetings to further leverage these opportunities. The integration of Newport, now our Light & Motion division, continues to progress very well, and we are pleased with its performance and the strength and dedication of the management team and its employees. In a relatively short period of time we've been able to reorganize the Light & Motion division to provide additional focus. We have revised compensation plans with clear and attainable goals, and have made increased investment in our sales channels. Due to these structural changes, new product development activities, and all the hard work of Light & Motion team across all product groups, we are pleased to report that revenue for our Light & Motion division was $159 million for the quarter, which was its strongest quarterly revenue performance in the past five years. At Photonics West we introduced a next-generation beam profiling system which measures the characteristics of a laser beam. This product was well received, and we have already won significant orders for this new platform. Our laser business continues to expand, and we are finding new opportunities in the semi market as also industrial applications. We won several major orders for our Spectra-Physics industrial lasers in mobile device manufacturing, energy, and other advanced manufacturing applications. In addition to our growth initiatives, it is important for us to continuously evaluate our portfolio of businesses to ensure that each business is both addressing our key markets, is adding significant value for our customers and shareholders. In 2006, we acquired our Data Analytics Business Unit, which is a leader in multivariate analysis software for easier analysis of large and complex datasets. Our goal was the expansion of these product offerings into potential semiconductor and industrial applications. After careful market and strategic analysis, we determined that the potential opportunities in this group are no longer aligned with our internal goals. And in April, we completed the sale of this business unit for approximately $80 million in cash. We felt the timing was right to sell this business, and by doing so we will be able to use the proceeds for effective capital utilization. At this point, I'd like to turn our outlook to the second quarter of 2017. We have seen continued strength in the semiconductor market, and we are well-positioned to leverage our broad product portfolio and our customer relationships. Our integration activities with Newport are tracking ahead of plan. And we are also well-positioned to drive growth in the general industrial, life sciences, and research markets. Based on these facts and looking at current business levels, we anticipate revenue in the second quarter of 2017 may range from $440 million to $480 million. At these volumes our non-GAAP net earnings could range from $1.26 to $1.50 per share. With that, I'll turn the call over to Seth to discuss our financial results, and expand upon our guidance.
Seth Bagshaw: Thank you, Jerry. I'll cover our first quarter financial results for an update in our 2017 target financial operating model, and finally I'll discuss our Q2 2017 guidance. Revenue for the quarter was $437 million, increased 8% compared to Q4 2016 revenue of $405 million, an increase of 33% compared to pro forma revenue of $330 million in Q1 of 2016. Revenue for the quarter was above the high end of our guidance due to continued strong demand from semiconductor customers. Sales for semiconductor market increased 14% sequentially to $260 million which represents a new quarterly record for MKS. Sales for other semiconductor customers were board based as we experienced strong growth in both OEM customers and semiconductor device manufacturers. Sales to other advanced markets were $177 million. Increase of $1 million from Q4 2016, and increase of 10% on a pro forma basis from year ago. Shipments into certain areas of these markets are product-based and can and do vary from quarter-to-quarter. We also experienced strong order growth rate in the first quarter in these markets. GAAP and non-GAAP gross margin was 47% and non-GAAP operating expenses were $107 million, all of which was in our expectation at this revenue volume. Non-GAAP operating margin was $22.5, reflecting the strong operating leverage at these revenue levels. GAAP operating expenses included $12.5 million in amortization of intangible assets, $1.4 million in integration cost related to the Newport acquisition, $500,000 restructuring costs related to consolidation of certain facilities. And finally, $4000 in cost related to the sale of our data analytics business unit which closed early in the second quarter. GAAP interest expense was $8.8 million, which included $2.4 million of amortization of deferred financing costs and non-GAAP interest expense was $6.4 million. The non-GAAP tax rate was 26%, which is in line with our expectations for the quarter. And the GAAP tax rate was 16% and included the favorable impact of a tax benefit from the deduction of stock compensation expense for certain restricted stock units that vested during the quarter. GAAP net income was $65.1 million or $1.18 per share. And non-GAAP net earnings were $70 million or $1.27 per share. Both of which also represent new quarterly records. We continue to execute on our financial strategy to deliver the balance sheet and reduce our interest cost. During the quarter, we completed another voluntary principal prepayment totally $50 million on our term loan. Since we repaid the term loan on April 29 of last year, we have completed total of $200 million of voluntary principal prepayments as well as successfully completed two reductions in interest rate spread reflecting the strength of financial results. Combined these actions have reduced our annual cash interest cost by more than 40% in less than one year. Adjusted EBITDA for the quarter was $119 million and our trailing 12 month pro forma basis adjusted EBITDA to gross debt ratio was approximately 1.5 times. We also continue to provide a balanced approach to capital deployment. And during the quarter, we paid a cash dividend of $9.4 million or $17.50 per share. This increased dividend rate reflects a 3% increase over the previous quarter's dividend rate and a cumulative dividend rate increase of 17% -- dividend in 2011. As we ended the first quarter, we had cash in short-term investments of $416 million, of which approximately 38% was in the U.S. and remainder in the international operations. Capital additions for the quarter were $4 million. Depreciation and amortization expenses were $22 million. And stock compensation was $8.8 million. Free cash flow for the quarter was $62 million. In terms of working capital, days sales outstanding were 56 days which was consistent with the fourth quarter of 2016, and inventory turns further improved to 3.3 times compared to 3.2 times in the fourth quarter of 2016. Turning to Newport acquisition, integration activities continued to progress very well. And exiting the first quarter, we have realized $32 million of annualized cost synergies which is ahead of expectations entering the quarter and well ahead of our original schedule. We continue to project that our total cost synergies would be $40 million annually, up from original $35 million projection. We expect to achieve these additional cost synergies in 2018. Furthermore, we are very pleased with the strong financial results that the light and motion division generated this quarter. As Jerry mentioned, quarterly revenue for the light and motion division is at the highest range in 5 years. And non-GAAP operating income more than doubled from a year ago, reflecting strong revenue growth and significant improvements in the light division -- light and motion division financial operating model. Earlier second quarter, we completed sale of our data analytics business unit for aggregate cash purchase price of approximately $80 million. The cash purchase price included $72.5 million received in April 3, additional cash payment of $7.6 million based upon post closing adjustment which we received on April 26. Revenue in 20016 for this business unit was $30 million. The impact of this business on our financial results for the first quarter were not significant. Last night, we also published an updated fully synergized 2017 target operating model to reflect the annualized effect of higher revenue levels we are generating; the impact of the divesture of the data analytics business unit; and the impact of $50 million principal prepayment completed in the first quarter. Illustrative revenue level of $1.9 billion including $40 million annualized cost synergies, our illustrative model shows potential non-GAAP EPS at the midpoint of this potential range of $5.82 per share or further increase of 23% compared to our model entering 2017 and which is more than double a year ago before we completed the acquisition of Newport Corporation. We always continue to seek further opportunities to improve our financial performance or provide additional resources to support customer requirements. Turning to Q2 2017 guidance, based upon current business levels, we that our sales in the second quarter could range from $440 million to $480 million. An increase of 5% midpoint driven largely by expected continuing sales to our semiconductor customers. Our Q2 GAAP and non-GAAP gross margin could range from 46% to 47%, reflecting these volumes and expected product mix. And our Q2 non-GAAP operating expenses could range from $103 million to $108 million. Non-GAAP interest expense is expected to be approximately $5.8 million and non-GAAP tax rate could be approximately 26%. Given these assumptions, second quarter non-GAAP net earnings could range $69.6 million to $83.1 million or $1.26 to $1.50 per share. In the second quarter, amortization of intangible assets is expected to be approximately $11.4 million. Integration-related costs are expected to be $2.3 million. GAAP interest expense is estimated to approximately $6.8 million and interest income is estimated to be approximately $500,000. Finally, second quarter we expect to recognize a net gain of approximately $72 million on the sale of our data analytics business unit. Majority of the proceeds of sale are internationally based and therefore we expect a record a U.S. federal income tax expense of $40 million in the second quarter for incremental income tax related to trading these funds. The actually timely trading of these funds will depend upon strategic business considerations as well as an assessment of the impact potentially favorable tax reform legislation that may become available later in the year or potentially early in 2018. Primarily as a result of the sale, we expect our GAAP net income in the second quarter to be substantially higher than non-GAAP net earnings. Our GAAP net income is expected to range from $117.3 million to $131.2 million or $2.12 to $2.37 per share on approximately 55.3 million shares outstanding. This concludes the prepared remarks. We'll now open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Amanda Scarnati from Citi. Your line is open.
Amanda Scarnati: Hi, good morning. Great results. Just a quick question on [indiscernible] trajectory of your business; you look at semiconductors versus the non-semiconductor market, Jerry, I think you mentioned that the non-semi markets are looking good and you are seeing growth in industrial, science, and research. How does that play into kind of percentages of the business, semis has been around 60% of sales, and I believe the goal was to get a [indiscernible] 50-50 split, but with semis performing so well do you see that happening or do you think that 60% range is more reasonable for semis?
Jerry Colella: Right now, I mean based on what we're seeing with continued positive news from our customers and their customers, that just the adoption of MKS' products in Asia -- China is another growth region we expect to pickup over time for ourselves. It's hard to beat a 60-40 split on semi. We are running real fast to continue to increase the non-semi business, and we're progressing well there, particularly with the Newport acquisition. But I think 60-40 right now for the foreseeable future just because of the strength of semiconductor is probably not a bad projection. And I'll that, make a lot of money with that.
Amanda Scarnati: Great. Semis is performing great so it's hard to beat it.
Jerry Colella: It is.
Amanda Scarnati: In terms of growth in Asia, and China specifically, do you see any increase in direct sales to Asia, or is it more just kind of following along with applied materials [indiscernible] and what they're seeing?
Jerry Colella: Well, we have a tremendous position in Korea, as an example. This quarter alone, Korea represented about 11% of our total revenue. Out of $437 million it was in the mid 40s. We took a business in five years ago or so there was like $60 million to $114 million this past year, with this quarter being -- the last quarter being so tremendously successful. So certainly we expected to have [indiscernible] growth, as our customers do, but we've got a lot of different opportunities in things like OLED and industrial applications in China, as well as other areas in the region. So I think right now it's best to model growth as it is, but I think we just see continued upside based on our position. In China alone, I think we have like 30 additional design opportunities right now in semiconductor, where we already have pressure and pressure control [indiscernible] and the Flow Control in power in a lot of these OEMs in China. So, one of the differences that separates us I guess a little bit, [indiscernible] from our customers is the opposition with the Chinese OEMs, and the Chinese OLED companies. And if China decides to buy local then you would see our growth rate -- I don't want to say higher than our OEM customers, but on a similar, if not higher rate. Because obviously if they win we win, but if some of the Chinese producers do well then we'll do well. The other thing is in DRAM in Korea we've been very successful. And we have penetrated all of the major OEMs that don't compete with our customers, so people like PSK, and [indiscernible], Genetech and others, we've penetrated them as well. So with AMAT and LAM growing free and we'll grow with them, and we'll get some additional upside from OEMs that don't compete with their business. Sorry about that. I know it's a longwinded answer, but it's an exciting area for us. And I never want to say we're going to beat our customers on growing because they're all doing such a great job, but there are some places that would maybe differentiate us, certainly from our competitors, if not our customers.
Amanda Scarnati: Great. Thank you guys.
Jerry Colella: Okay, Amanda. Take care.
Operator: Thank you. And our next question comes from the line of Tom Diffely from Davidson. Your line is open.
Tom Diffely: Yes, good morning. First, a question on the target model, and I guess the comment would be that you're running out of room on that target model, you've changed it so often. So when you look at the most recent change, and it looks like the operating margin is the big change there, is that simply just the incremental margin or the drop-through? Are there any kind of cost changes that happened along the way?
Jerry Colella: Yes, hi. Good morning, Tom. Yes, so the big change in that $1.9 million model is really it's a volume-driven piece. And we mentioned in the past we got a [indiscernible] variable margin in gross margin, and probably $0.40 to $0.45 variable operating margin, so that flow through the model. And it has the full $40 million of cost synergies, and we exit this past quarter at $32 million, so it's the other real delta, and then obviously a little in interest rate because of the -- to pay-down the debt.
Tom Diffely: Okay, great. And then I guess shifting over. You'd mentioned the design win on the OLED side of the business. In general, how much growth have you seen in OLED or in flat panel to date, and how much growth do you think you see over the next year there?
Jerry Colella: Well, the win that we got was optical sub assembly, which came out of our Newport acquisition, which we're really thrilled about. So the cross selling is in full force. But in general, OLED is about 5%-6% of our overall business. So it's strong, but it doesn't necessarily have a material impact, although we'll take a million dollar order in. And that order itself could actually turn into something more substantial. I guess we're at the leading edge of this application in this sub assembly. But right now it's 5%-6%. It will continue to be strong. We've got right now new product development that is being looked at by our customers which could increase our position beyond where we are right now. So it still looks good. Customers are reporting more opportunities for us. But I wouldn't say it's materially altering the business going forward. When it's 5% of a 1.6%-1.7% business it's nice, but it doesn't necessarily move the needle significantly.
Tom Diffely: Okay, great. And then when you look at the Light & Motion business, I think you said you had -- was it a record quarter for Light & Motion?
Jerry Colella: This was the highest in the last five years --
Seth Bagshaw: Revenue side, yes.
Jerry Colella: Revenue side, $159 million.
Tom Diffely: Okay. I was hoping you could just kind of breakdown the individual or pieces of the growth that you've seen there. Is it from the semi side; is it a different industrial side?
Jerry Colella: Yes, well first of all, it certainly is in semi. We took the semiconductor-related business called [indiscernible], and we moved that under the Vacuum & Analysis division. They have customers like KLA, Ultratech, Rudolph, ASML, and they're all doing very, very well. And then we've also seen strength in the industrial side, particularly on the laser side of the business, so a lot of the micromachining, scribing, dicing, enclosure machining, so that side of the business has done well. And we do expect though that in over time hopefully the research will pick up a bit for them assuming defense spending. But it was really a lot of the semi side and the industrial primarily coming out of the laser side of the business, as well as some of the optic stuff, things like pedestrian recognition system for sensing, and things like that.
Tom Diffely: Okay, great. And then finally, Seth, when you look at your cash balance to date, what percent is offshore?
Seth Bagshaw: It's 38% in the U.S., so 62% offshore right now at the end of the March quarter.
Tom Diffely: Okay, great. Thank you for your time.
Seth Bagshaw: Okay, thank you, Tom.
Jerry Colella: Take care.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Krish Sankar from Bank of America. Your line is open.
Krish Sankar: Yes, hi. Thanks for taking my call. Great results, guys. A couple of questions, first one on the guidance, is it fair to assume when you look at sequentially semis is going to flat in June quarter?
Seth Bagshaw: Yes, Krish, this is Seth. I don't think that's the case. I mean, we're seeing a real strong growth in the semi market both on the device side as well as OEMs. So I would think -- and we don't really guide by market in the second quarter, but I would expect that growth rate would be driven by semi more than the other market just given the nature kind of how it works for most of those growth areas.
Krish Sankar: Got you. So is it fair to assume then Light & Motion is going to be flattish or down or --
Seth Bagshaw: No, I think that'll be up for the quarter as well.
Jerry Colella: Well, we finished at 437 and the midpoint is 460. If you do the math, that's growth.
Seth Bagshaw: Yes, it's 5% in the midpoint, but I think you'll see -- our expectation is both sides will grow, but the semi has the biggest upside for opportunity, I think, just given where we are in the [indiscernible].
Jerry Colella: New order rates for both are strong.
Seth Bagshaw: Yes, Q1 [indiscernible] were very good on non-semi side as well.
Jerry Colella: We just don't report order rates.
Krish Sankar: Got it, fair enough. And then I had a question on the OLED side. So do you guys actually sell lasers into the OLED or is it just more the [indiscernible]?
Jerry Colella: No, it's more the component side, most of it coming from Vacuum & Analysis. Light & Motion had a win on this optical subassembly for manufacturing, which is new. And a lot of it comes out of our [indiscernible] group out of Zachman analysis [ph] for cleaning. We've been doing OLED cleaning for a lot of the major suppliers for years, and that business just continues to pick up.
Krish Sankar: Got you. And then do you guys plan to get into like the excimer [ph] laser business for OLED or is it something you're looking at?
Jerry Colella: Well, it's an intriguing business. And if you look at, from what I understand, there are high cost of ownerships, and downtime, and reliability issues. And anytime MKS looks at a customer problem we always find a way to fix it. That's how we win. So we don't have excimer lasers in our Spectra-Physics portfolio, but there are most likely over time alternative solutions to that. So whenever there's an opportunity and there's a problem that's how we gain share. So we think it's an intriguing business, and we'll continue to pursue looking at that, and where there's an entry point for us at some point.
Krish Sankar: Got it, very helpful. Thanks a lot, guys.
Jerry Colella: You're welcome. Take care.
Operator: Thank you. And our next question comes from the line of Patrick Ho from Stifel. Your line is open.
Patrick Ho: Thank you very much, and congrats guys. First off, Jerry, in the past you've talked about, with the Newport acquisition, about the potential integration of products from both your core Vacuum MKS products, and some of the Newport Light & Motion products. You've talked about some of the cross selling opportunities today. How do you see the development going in that area where that could be potentially be a growth initiative for you guys down the road?
Jerry Colella: Yes, well first of all, the million dollar win was a cross selling win. Without the executive level relationships and the feet on the ground in Korea, I have a feeling that Light & Motion may not have won that business for a fact. And it really was driven by the Vacuum & Analysis Group. Some of the things we're working on, we have this group, the PNA group that's into environmental monitoring. But also they've got some interesting opportunities in the semi side, Patrick. And one of the challenges they've had is on the lasers and optics side. And we're seeing a collaboration between the Light & Motion team and the optics group for some development on for the PNA products. The other thing was, we had a yield issue for Light & Motion. They do a lot of coding work on their optic side. And they were having some significant yield issues. And we took some of our key design engineers from Vacuum & Analysis, flew them up there, and they were able to really solve this coding issue. So, we continue to see a good collaboration. We have the office of the CTO, which John Lee, our COO, runs. He's a PhD. Obviously a lot smarter technically than I am. And he's getting these two teams together to really look at road mapping how each one can effectively work with each other to reduce the cost of the product itself, make technical advances. So there's a lot of good things going on technically, and certainly the cross selling we obviously saw a major win. And a quarter or so ago we also talked about a gas analysis win that we had at a backend customer. There was a Light & Motion customer. So we think there's some tremendous opportunity. We think lasers have an opportunity with some of our OEMs in the semi side, and we've certainly been having discussions, [indiscernible] evaluating the product, so [indiscernible] up into the right as far as this is concerned, Patrick.
Patrick Ho: Great, that's helpful. And maybe as a follow-up question to one of the questions regarding China, you guys have made significant inroads into the Korean market. And that probably is a good blueprint for you as the indigenous Chinese semiconductor market grows. But given how fragmented, and at the early stages of the equipment industry in China is today, how are you I guess balancing the need to spend and invest in that region versus some of the opportunities down the road of penetrating some of the local equipment vendors that are likely to emerge down the road?
Jerry Colella: Yes, well one of the good things about MKS is our brand is well known. And a lot of the equipment engineers that are in Korea, and in China in particular, we actually have -- are very familiar with MKS because one, they were either educated in our universities here, in the United States, or two, they've worked at the equipment companies in the U.S., and then migrated back home. So we're very fortunate that our brand is a draw for these engineers who've either worked in the labs at the universities or have worked on designing and putting our product in U.S. OEM equipment. We have a lot of feet on the ground in China. There is a lot of opportunity for both light and motion and both vacuum analysis. So, I don't think there is a real concern for us in terms of investing in infrastructure. And we took a flyer years ago, Pat, in company called Plasmart in Korea. And the idea behind that was to have people on the ground that were very connected to all the university graduates in Samsung and Hynix and a lot of the others, and that flyer worked. So, putting an investment on the ground in China to develop significant opportunity over time is not something we shy away from, but we're very fortunate that our brand is something that's well known and that sells itself. And the other thing though is we've worked for a long time with some of these companies. I will give you an example like AMAC Company; they were a very small startup. And they -- and we have three awards in our lobby from them. It is because we paid attention to them. We helped them. They are good customer. Obviously, we can't win everything, but we helped them with a whole range of technology solutions when other people wouldn't attention to them. And when they weren't doing so well, we still stuck by them. And they will do well and we have the same model with other Chinese startups that we have been familiar with. So, I think the customer relationships, the brand recognition, the investments we make, the feet on the ground, I think all that's going to continue to support our growth in China, just like it did in Korea.
Patrick Ho: Great. And final question from me maybe for Seth for the target model; given the revenue growth that you guys are anticipating, there is a lot of leverage that goes to the bottom line. One of the notable things that I am looking at right now is the OpEx. How are you getting the leverage on the OpEx? Or, how are you balancing that to drive higher operating margins, because as revenues grow, you would assume that SG&A and even R&D would grow. What are some of the balance or what are some of the moving parts there that are helping to drive higher operating margin targets down the road?
Seth Bagshaw: Yes, sure. Good question. So on the R&D side, I would say it's project-based. So if you looked at our change like nine times in last several years, you wouldn't see model that we present. But, we've been adding investments in certain areas as we go along. So, we have been making improvements in -- especially in the model and our internal structure. At the same time, we are putting money back to work in terms of product development activities and sales channel, particularly China and Korea as Jerry mentioned. So we've actually -- we've done some leaning out. There is more opportunity going forward, do mean on a -- as a second level, every month you kind of go through up to -- continue to drive you know, vacuum analysis side as well as the light and motion side, and within that, there's always a cadence to add funding back into the business. So, that's been sort of our DNA and that will continue going forward as well. When we look at quarter-over-quarter growth rates or even year over year, typically because it is well entrenched in the customer base, you don't really see additional sales activity required. We tend to make investments in the front end to designs wins. And then you get a lot leverages as the revenue comes through because the sales structure some variable compensation obviously, but it's pretty much well funded from a head count and infrastructure perspective, so where leverage comes through in the model going forward. One of the point too in light and motion side, I mentioned in the call that the profitability more than doubled last year. At that, revenue volume we had Q1 2017, 115 million of revenue, about 18% or north of that operating income. A year ago before close the transaction, it was more like a 12% level. So we've added 600 basis points just on the divisional side alone at the higher volume. So it's really something we've done for number of years. We will do it going forward because there is more opportunities as well, but at the same time we're getting reinvesting back in those critical areas.
Jerry Colella: Yes, I the other thing Patrick to add to that though is we've been a company that followed lean principles for well over 20 years. We -- when I came to the company in 1983, one of the first things that my job was to outsource non-core manufacturing functions. And if you look at our businesses now, we're basically just final assembly and test. And so what that means is that, is all the infrastructure that's required for multiple layers of manufacturing don't exist within the company. And so if you do -- you have to be really good at the supply chain management. And we have a team of experts managing our supply chain effectively. Our customers have actually commented on how effectively we've dealt with this ramp. So I think applying the lean principles to manufacturing, applying lean principles to everything we do, we look at things like efficiency rates and utilization rates. We leverage management to handle significant swings in the business. So I think the JT principles, the lean principles, demand for technology principles have helped us. And before we went public in 1999, we were about $150 million company in a wildly cyclical business that was privately held. So we understood how to manage it, and I think that we've kept that core principle while not being afraid to invest aggressively in high growth areas. And I think that's paid off for the company when you look at how we leverage the revenue upward.
Patrick Ho: Great. Thanks a lot guys.
Seth Bagshaw: Thank you, Patrick.
Jerry Colella: Welcome. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of [indiscernible] from Dougherty & Company. Your line is open.
Dick Ryan: Hey, guys. It's Dick. Seth, congratulations on the quarter. Just a question on light and motion, I think it was roughly 177. So, it looked flat sequentially. I think you said 10% year-over-year. Using a proxy of global PMI, I would think we might see a little more growth there. But is there seasonality in that business? Or how should we consider that?
Seth Bagshaw: Yes, Dick. This is Seth. So a couple of things that 177 million that's total combined non-semi revenue in the quarter, not light and motion. And so, the 177 in Q1 was up a million dollars from Q4, but 10% from a year ago. So, it's up year-over year although consistent sequentially. In the call I mentioned that the order rates within the -- I call it the non-semi business were actually pretty strong in the quarter. So really wasn't light and motion. It was really the non-semi piece. The light and motion was up sequentially quarter-over-quarter and from a year ago as well.
Jerry Colella: And that 159 for light and motion is a combination of the semi business and a non-semi business, Dick, yes.
Dick Ryan: What about the data analytics business, Seth, when you incorporated those numbers? Was it in semi or was it in non-semi?
Seth Bagshaw: Yes, the nonsemi. It's actually in the vacuum analysis side division as well by the way, but it would be in the non-semi piece. And again, last year in '16 it was about 30 million for the year is that one that business unit we sold.
Dick Ryan: Okay.
Seth Bagshaw: It is Small.
Dick Ryan: And Jerry, we've heard of tight supply chains out there. Are you getting any incremental wins from competitors that are having problems stepping up meeting demand?
Jerry Colella: I don't –- I really can't say that we've done that. We're -- did a lot of designs cycles and design in time in our product. And so, sometimes the sub-assembly level of our where we are at sub system level. It's not just something to win from based on the last month or so. I mean we are continuing to see gain share based on technology and that's where see the biggest gain. I did see another company in the space that talked about gaining share because of the lack of delivery. I would say that we are getting more and more design wins because of our capability. And you'll see the company continue to grow based on our operational ability. But I can't really say I see anything specifically because we have been in the competition on delivery. I wish I could tell you that, but I can't say I have seen that.
Dick Ryan: Okay.
Jerry Colella: We haven't lost anything though. I can tell you we didn't lose anything.
Dick Ryan: Well, that's good. Thank you.
Jerry Colella: You are welcome.
Operator: Thank you. And our next question comes from the line of Weston Twigg from Pacific Crest. Your line is open.
Weston Twigg: Hi, thanks for taking my question. Just wondering you mentioned orders are really strong in Q1, guidance is really strong for Q2, but I am wondering if you are seeing any signs of those orders may stabilize or start to slow down for -- in the second half, or do you think we are still on the same trajectory?
Seth Bagshaw: Well, I think earlier in the year, there were some of the customers were calling for maybe a slight more of a frontend load to the business. Recently looking at earnings calls and talking to customers, I think the landscape is changing there. So, I think we will go up another 33%. I mean that's kind of hard to say, but I don't -- I have got the sense that we are a pretty good right now. And it looks fairly good for the rest of the year and people talking favorably about 2018. I did spend time with some of our Green customers. They talked positively about the year. I asked about things like dips and things like that. And things can change on a dime. I know that for fact, but I can't -- I think it's been more positive as of late from people around the world that we've talked to.
Weston Twigg: Okay, that's really helpful. And then, just on the semi demand in general, can you give us an idea where the strength is really coming from? Where the upside is coming from?
Seth Bagshaw: Well, certainly, 3D is helping a lot, the multi patent product. There is no question that the continued strength. We do see as we talked about DRAM is helping. And we said we knew our Green business would do -- would increase if we saw DRAM spending increasing and I talked to customers last July and that's what they told me would happen and here it is. So I think it's primarily those two strength that we see right now.
Weston Twigg: Very helpful. Thank you.
Jerry Colella: Okay.
Operator: Thank you. At this time, I am showing no further questions. I would like to turn the call back over to Jerry Colella for closing remarks.
Jerry Colella: Okay. Thank you. We are very pleased with our strong start to 2017. We set a new records of quarterly renew, continue to enhance the organizational strength and collaborated more closely and effectively with our customers. Thank for joining up on the call today and for your continued interest in MKS. We look forward to updating you on our continued progress when we report our second quarter results in July. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program and you may now disconnect. Everyone have a great day.